Operator: Good day, and thank you for standing by. Welcome to VinFast Q1 2025 Financial Results and Q&A Webcast. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the call over to Amandae Baey, VP of Investor Relations. Thank you. Please go ahead.
Amandae Baey: Thank you, operator, and good morning, everyone. This is Amandae Baey, Vice President of Investor Relations. Welcome to VinFast First Quarter 2025 Earnings Conference Call. Joining me today are Chairwoman of the Board, Madam Thuy Le; and our CFO, Ms. Lan Anh Nguyen. Before I turn the call over to Madam Thuy, let me remind you that some of the statements on this call include forward-looking statements under federal securities law. These include, without limitation, statements regarding the future financial and operating outlook, guidance, macroeconomics, industry trends, company initiatives and other future events. These statements are based on the predictions and expectations as of today. Actual events or results may differ due to a number of risks and uncertainties. We refer you to the cautionary language and the risk factors in our most recent filings with the U.S. Securities and Exchange Commission. In addition, management will refer to non-GAAP financials during this call. A discussion of why we use non-GAAP and the information regarding the reconciliation of our non-GAAP versus GAAP financials is available in the press release that we issued this morning. With that, I would like to invite Madam Thuy to start with the management remarks.
Thuy Thu Le: Thank you, Amandae, and hello, everyone. I appreciate you joining us today. I am pleased with the progress made over the past year. Given that the first quarter is typically the slowest seasonally, it is encouraging to see signs of improved operating leverage driven by economies of scale. Compared to the same period last year, our volume growth and streamlined operational footprint are increasingly reflected in a more efficient cost structure and subsequently, the narrowing of our profit margins year-over-year. Today, I'll be sharing updates on 3 key fronts: one, deliveries performance; two, the pace of EV adoption and performance in our key markets; and lastly, our future R&D road map that we mentioned last quarter. On the deliveries front, I'm pleased to share that Q1 '25 deliveries alone have already exceeded our total for the first half of last year. Achieving this in the typically slowest quarter of the year marks an encouraging start to 2025, especially given ongoing global macroeconomic and trade uncertainties. In Q1 2025, VinFast delivered 36,330 electric vehicles, representing a 296% increase year-over-year and a 32% decline quarter-over-quarter. It's important to remember that Q1 is typically our seasonally slowest quarter, primarily due to the extended Lunar New Year holiday in Vietnam. On the 2-wheeler front, we delivered 44,904 units, marking a 473% year-over-year increase and a 44% rise quarter-over-quarter. This strong growth was driven by the expansion of our dealer network in Vietnam and a sharpened product focus following the discontinuation of older models in favor of more competitive offerings. Deliveries to related parties, which include GSM, the EV taxi platform owned by our founder, accounted for 21% of Q1 deliveries. With this, our B2C deliveries have consistently accounted for over 70% of total sales for 3 consecutive quarters through Q1 '25. As GSM expands in Indonesia and the Philippines, we anticipate continued vehicle deliveries to support their fleet growth. Charging infrastructure remains the biggest barrier to EV adoption. Our charging partner, V-GREEN, is actively addressing this challenge by working with local businesses to roll out exclusive charging networks for VinFast customers. GSM and V-GREEN together have normalized EV usage in Vietnam, and we believe their international expansion as part of our ecosystem approach will help drive a similar trajectory of consumer adoption in other markets. Let me now walk you through the pace in EV adoption and performance in our current markets. Across our key markets, EV adoption continues to gain traction at different speeds, supported by varying degrees of regulatory incentives and a broader range of product offerings for consumers. In Southeast Asia, unlike Vietnam, where VinFast has driven EV penetration to nearly 40% in Q1, battery EV or BEV adoption is still nascent in other regional markets. In Indonesia, according to Gaikindo data, BEVs made up 7% of total auto sales in Q1, up from 3% a year ago. In the Philippines, data from CAMPI show that BEVs accounted for only 3% of total auto sales. For VinFast in Indonesia, we've made meaningful progress in establishing a strong foundation for long-term growth in the first quarter of the year. We launched the VF 3 for sale in February and began deliveries in March. In a market where consumers are spoiled for choice, our industry-leading offering, including 1 year of free charging, has started to differentiate VinFast. Today, we have 4 models available in Indonesia with the VF 7 and Green series expected to launch soon, further broadening our portfolio. We are rapidly scaling our retail and service footprint. To support this growth, we have announced a strategic partnership with a respective distributor with a proven track record representing legacy automotive brands. Their alignment with a new entrant like VinFast underscores the long-term confidence in our value proposition for Indonesian consumers. Our green mobility ecosystem is taking shape with GSM expanding into additional major cities. GSM is already operating a fleet of 3,000 EVs in Greater Jakarta, accelerating consumer familiarity with our EVs. In parallel, V-GREEN Indonesia, our exclusive charging network operator, has deployed over 2,000 charging locations across 36 provinces out of 38 provinces in the country, with approximately 16% already operational. V-GREEN provides reliable infrastructure to support our growing customer base. Next, the Philippines. Similar to our foundational work in Indonesia, we have announced partnerships to establish service workshops and dealerships. Our partners, V-GREEN and GSM will play a key role. V-GREEN is setting up a dedicated EV charging network to support early adopters while GSM will soon be launched in the Philippines. Our MOU with Goodyear Philippines includes a working relationship to open 50 authorized VinFast service workshops and an agreement with 6 established distributors announced at the Manila International Auto Show to open over 60 new showrooms in the Philippines this year. Coming back to Vietnam, our core market. According to data from the Vietnam Automobile Manufacturers Association and other industry groups in the region, Vietnam led Southeast Asia in automotive sales growth with a 24% year-over-year increase, outpacing larger regional markets. This performance was underpinned by strong macro fundamentals. GDP growth accelerated to 6.9% in Q1, the highest since 2020. Based on Vietnam registration data, VinFast market share of overall auto sales increased to nearly 40% in Q1 2025 from approximately 20% last year. This remarkable increase reflects the strong brand recognition we enjoy, which is further amplified by the entrenchment of our green mobility ecosystem. The launch of the Green series opens a new market segment for VinFast to maintain our industry leadership in our home market. In Vietnam, VinFast continued to be the proxy for EV penetration and led the auto market during Q1 2025 with over 35,100 vehicles delivered, equivalent to the next 3 players combined. 2 of our top selling models, the VF 3 and VF 5 were also best-selling passenger vehicle models in Vietnam during Q1 '25 and accounted for 68% of VinFast total domestic deliveries. This was followed by the VF 6, which has become the new popular mass premium car in Vietnam. It accounted for 12% of VinFast total domestic deliveries. At around $26,000, VF 6 offers a modern design with comfortable cabin and standout features that are rare to find in the B2B segment, such as voice control, multilink rear suspension and adaptive cruise control. VF 6 owners agree this model delivers a segment up experience at a B-SUV price. During the quarter, we began taking preorders for the Green series, a dedicated lineup tailored for transportation use cases. Since its introduction in late 2024, the 4 model EV series have attracted elevated interest from local taxi fleet operators who were starting their journey to electrification. More recently, we commenced our first deliveries of the Herio Green and Nerio Green in April. We are also broadening our product lineup into commercial vehicles with the introduction of an electric school bus and an electric minivan model in May. Outside of Vietnam, we are exploring opportunities in Asia and Europe with plans to offer electric buses in 6, 8, 10 and 12-meter sizes. Moving on to India. We are pleased to announce the opening of our CKD factory in Tamil Nadu in July. We will soon announce our dealer partners and ahead of the sales opening for VF 6 and VF 7, we plan to launch extensive marketing campaigns in Delhi and Mumbai to build brand awareness. With India's EV market still in its early stage and significant white space across segments, we see a compelling opportunity to deliver premium value and accessible innovation to Indian consumers. In Europe and North America, as part of our ongoing strategic initiative to optimize our footprint, VinFast will close its direct-to-consumer showrooms in Germany and the Netherlands in June and start replacing them with new dealer showrooms. This is a long-term strategy that VinFast initiated to transition from purely direct-to-consumer to a more dealer-led distribution model. Our transfer of all showrooms in Vietnam last year to our dealer partners was a prime example. To ensure seamless services to our customers, we have recently signed dealership agreements with dealers in France and Germany. In the Netherlands, we announced partnerships with LKQ and DHL to deliver high-quality aftersales experience, including the delivery of spare parts within a day. Our commitment to fostering electric mobility in Europe remains unchanged, and the shift in our distribution model is set to improve our operational efficiency to address growing customer demands. Looking over to Canada, we are closing 3 short-term shopping center stores and 2 showrooms in outlying areas to refocus our resources to the best-performing showrooms. As of April 30, 2025, we had 388 showrooms globally, of which over 90% were dealer stores. Finally, I'd like to share some of the exciting innovations underway at VinFast as we develop our next generation of electric vehicles. As a young and dynamic EV manufacturer, we remain committed to delivering higher quality, better performing vehicles while keeping them accessible to a broad range of consumers. Our new platform and E/E architecture will enable further bill of material cost optimization, driving efficiency across every aspect of the business. Our first-generation vehicle platforms prioritize speed and market readiness, allowing us to bring 7 models to market in under 3 years, effectively establishing VinFast as the EV brand for every customer's needs. Looking ahead, our next-generation vehicle architecture is guided by the principles of the 3 Cs: competitiveness, commonality and cost efficiencies. This strategic evolution underscores our sharpened focus on optional efficiency and scalability as we steer the company towards long-term profitability. Our new vehicle platforms will be designed to simplify the engineering process while integrating world-class technologies and supporting a wide range of product offerings. Each platform will underpin multiple models, significantly increasing components' commonality. This approach enables more streamlined procurement and manufacturing processes, ultimately driving cost reductions through economies of scale and improved operational synergy. In parallel, VinFast E/E architecture is undergoing a major transition to its second phase of development, which introduces zonal architecture controlled by a centralized supercomputer. This reduces ECU complexity and minimizes the use of traditional wire harnesses, further contributing to bill of materials cost optimization and production efficiency. More importantly, this transition will also enhance customer experience. I'm pleased to share that the first model to debut with a next-generation platform and zonal E/E architecture will be the new MPV model, Limo Green, going to market in quarter 3 this year. Various existing models will also undergo a technology refresh beginning in 2026, as we continue to elevate our product offering and deliver a smart, software-defined vehicle. I will now hand it over to our CFO, to discuss the financial results.
Anh Thi Nguyen: Thank you, Madam Thuy. Good morning, everyone. I'm pleased to walk you through our financial results for the first quarter of 2025. Our business is now at an inflection point where we expect economies of scale to drive greater operating leverage going forward. We've made meaningful progress in optimizing our cost base, both in terms of cost of goods sold and operating expenses. As we continue to grow our top line while streamlining our operational footprint, we remain focused on identifying additional cost-saving opportunities. As Madam Thuy noted, our new vehicle platforms and our new zonal E/E architecture would serve as a foundation for longer-term cost savings. These changes not only reduce complexity and component redundancy, but also enable us to secure more favorable supply contracts supported by our growth scale. Our view of material optimization program is ongoing, and we expect to see a more material impact once the new platforms are fully commercialized over the next 18 months. Now let me walk you through our results in more detail. Net revenue for Q1 2025 was USD 657 million, an increase of 150% year-over-year and largely in line with Q4 2024. Cost of goods sold for the quarter was USD 888 million, an increase of 113% year-over-year and down 25% quarter-over-quarter, reflecting the continued ramp-up in deliveries. Cost of goods sold as a percentage of revenue was 135% for the quarter, compared to 179% in Q4 and 159% from the year prior. Q1 2025 gross margin was minus 35%, a notable improvement from minus 59% in the same period last year, driven by increased scale and ongoing cost optimization efforts. Excluding the impact of NRV and one-off items, gross margin was minus 28% compared to minus 57% during the same period last year. Moving on to operating expenses. SG&A expenses for the quarter totaled USD 151 million, representing a 23% increase year-over-year, but a 43% decline quarter-over-quarter. As a percentage of revenue, SG&A was 23%, significantly improving from 47% in the same period last year. This reduction reflects our ongoing shift from a direct to customer model to a dealer based model, a transition that began in late 2023 and is helping streamline our cost structure. We recorded a USD 20 million impairment charge this quarter, which the majority was impairment charge related to the closure of existing D2C showrooms in California. We expect to incur additional impairment charges in the coming quarters as the transition progresses in the other markets. R&D expenses came in at USD 81 million, down 22% year-over-year and 25% quarter-over-quarter. As a percentage of revenue, R&D was 12% compared to the 40% in the same quarter last year. While we saw a decline this quarter, we anticipate higher R&D spending in the coming periods as we invest in the development of our next-generation platforms and technologies. EBITDA for the first quarter of 2025 was minus USD 396 million with an EBITDA margin of minus 60%. This represents a significant improvement from minus 130% in the same period last year, reflecting early benefits from increased scale. Net loss for the quarter was minus USD 712 million, with a net loss margin of minus 109% compared to minus 226% in the first quarter of 2024, again, highlighting the benefits of scale. These improvements underscore the progress we're making as we scale our operations and continue executing on our path towards profitability. Now turning to CapEx and cash flow. CapEx for the quarter was USD 147 million, down 24% year-over-year and 40% quarter-over-quarter. We anticipate higher spending in the coming quarters as we enter the final phases of contractions for our new CKD facilities in Vietnam, India and Indonesia. Operating cash flow for the quarter was minus USD 607 million compared to the minus USD 500 million in the Q1 2024, largely due to the changes in the net working capital. In terms of cash flow efficiency, our cash burn in Q1 2025 was equivalent to 115% of revenue, a significant improvement from 256% in the same period last year. This reflects stronger cash flow management as well as the initial benefits of scale. This improvement in the quality of cash flow mirrors the operating leverage we are starting to realize as we scale our operations and optimize costs. We expect to continue investing in R&D and CapEx for the remainder of the year and to drive innovation and enhance the customer experience. These investments will be balanced by continued discipline in execution and cost optimization, and our profitability target remains unchanged. Finally, an update on our liquidity. As of 31st of May this year, Vingroup (22:56)has disbursed USD 1.2 billion in loans, and our founder disbursed USD 825 million in grants to VinFast. Besides cash and cash equivalent, our liquidity stands at around USD 2.4 billion, including USD 968 million ELOC facility, and the remaining USD 1.4 billion from Vingroup loan and our founder grant. Operator, let's open for Q&A.
Operator: [Operator Instructions] The first question comes from Andres Sheppard from Cantor Fitzgerald.
Andres Sheppard-Slinger: Congratulations on the quarter and all of the vehicle delivery ramp-up, very exciting. Madam Thuy, just wondering if you could maybe remind us just the timeline on the new factories, the one in Vietnam, the one in India, the one in Indonesia. When do you expect them to be operational exactly? I know you touched on it briefly. And what do they do to the total production capacity?
Thuy Thu Le: Thank you, Andres, Okay. So as announced before, all our facilities [indiscernible] (24:36)is expected to start operations this year. So the majority of the vehicles, about 90% will still be manufactured out of -- in Vietnam with a better production concentration with the existing facility. [indiscernible] businesses focuses on more like high-end models. VF 6 VF e34, Limo Green, VF 7, VF 8 and VF 9. And our new facilities, I think, will make more affordable models like Nerio Green, and VF 3 and VF 5. In terms of timings, the India factory will open in July this year and the [indiscernible] one before that and the India -- Indonesia after that but all of them will be opened this year.
Andres Sheppard-Slinger: Got it. Very helpful. And maybe just as a quick follow-up. I'm wondering if you can maybe remind us, what are some of the key catalysts you think investors should be looking at either for remaining of this year or into next year? Just making sure we're capturing all the major big highlights, that catalyst that you want us to be aware of.
Thuy Thu Le: Okay. Thank you. The catalyst for the growth. So actually, VinFast is entering a very critical inflection point across 3 strategic pillars: scaling operations, accelerating product development and executing on cost optimization, which all lay the groundwork for a clear path to profitability. So first of all, on the scaling for growth. We're targeting the double vehicle deliveries in 2025, at least double delivery in 2025 and maintain a strong momentum into 2026. This growth will be driven by deeper market penetration in key international markets, particularly across Asia and enabled by our new CKD manufacturing facilities. About the next generation products, our upcoming EC lineup will deliver enhanced technology offerings while being more cost effective to produce. So this will position us to stay competitive and aligned with evolving consumer preference. And finally, on cost optimization. As mentioned before, 2025 is a foundational investment year in our [indiscernible] and zonal architecture. This advancement of our design could significantly improve the manufacturing efficiency and reduce -- significantly reduce the [ lost ] costs of vehicles, making VinFast more agile and cost-competitive OEM. Like I mentioned in my presentation before, the first model will be released in October this year.
Andres Sheppard-Slinger: Congratulations again.
Operator: Our next question comes from the line of Greg Lewis from BTIG.
Gregory Lewis: I appreciate the comments around the CapEx and I guess, the expected ramp. I was hoping just as we think about the remainder of 2025 and obviously, there's a lot happening with the expansions for the CKD, the continuing R&D. Just kind of hoping you could maybe provide some color around the timing of this CapEx and really as kind of you're thinking about them whole year, when could we see CapEx kind of peak out on -- is that a Q2 or Q3 type of thing we're thinking about?
Anh Thi Nguyen: Thank you for your question. We -- for the CapEx, we plan to spend a total of [indiscernible] billion in 2025. Over 50% of this will go towards research and development, including both R&D expenses and capitalized R&D investments for developing new models and refreshing our current product line. The remaining amount under 50% will primarily be allocated to build our CKD facilities across Asia like [indiscernible].
Gregory Lewis: Okay. Great. And then one other question for me is on the decision to kind of pivot into the bus market. You clearly highlighted Europe and I guess, the core market is around Asia. Kind of curious, as you think about rolling out the bus expansion, where are we in that process? Maybe strategically, how you thought about moving into that sector? And do we kind of have any realizing, I think you just announced this, realizing it's early days and these things don't happen overnight. When could we potentially see VinFast start delivering buses?
Thuy Thu Le: Thank you for the question. So we already started delivering buses in big volume in Vietnam, but after testing our [indiscernible] fleet. I think this year, we expect to deliver about -- probably around 1,000 in Vietnam to other operators. We also started the process of selling e-buses in other markets. So we set up the team in Indonesia, in the Europe already, very soon in the Middle East and the U.S. So gradually, we're expanding market-by-market to capture the growth in electric bus penetration.
Operator: One moment for the next question. Our next question. [indiscernible] Please go ahead and introduce yourself, please.
James McIlree: Yes. It's Jim McIlree at Chardan Capital. It looks like the average selling price for the vehicles was flat quarter-to-quarter. Can you project what you think the trajectory of ASPs are going to be for the rest of the year?
Anh Thi Nguyen: Thank you for your question. For the Q1 2025, the ASP was largely in line with the Q4 2024, at around USD 15,000. And compared to the USD 19,000 for the full year of 2022 -- 2024. For full year 2025 ASP, it's likely to remain under USD 20,000. We see our smaller model like VF 3 and V 5 effectively contribute around 50% of the delivery. We also expect increasing contribution from the new Green series.
James McIlree: That's very helpful. And then secondly, the adjusted gross margin this quarter was if my data is correct, a little bit higher than -- no, excuse me, it was about even to Q4, even though volumes were much lower this quarter. Can you comment on the variable margin versus fixed costs and your production and when it might be reasonable to expect variable margins to be -- to cross over and then when you would get -- then when you would get the full gross margin to cross over?
Anh Thi Nguyen: Thank you for your question. For this year gross margin, as you know that this quarter, we have the selling -- the delivery is quite like relatively lower than the volume of Q4 last year. For -- to remind that in Q4 of last year, we delivered about 53,000 vehicles compared to the 36,000 in Q1 this year. And especially for the Q1 is typically like the lowest season in the year in Vietnam, primarily due to the Lunar New Year holiday. And also to remind that for last quarter, our gross margin, if we -- excluding the onetime recharging program in inventory write-down charges, that was minus 26%. But if we then, of course, like we're excluding the onetime recharging and inventory write-down charges for this quarter also. So the margin is going to be like minus 20%. So that means it's better than the Q4 2024. This is also the illustration for our effort to improving in terms of the BOM optimization and the production cost, even that for this quarter, that the delivery is relatively lower than the Q4 2024. So the whole company we put the effort to reduce the BOM optimization. I mean, initiatives for the BOM optimization as well as the for the ideas to improve the production cost. That means we improved the variable cost to like, I told, was for the target of the breakeven in terms of the gross margin in 2026, like our guidance previously.
Operator: There are no more questions from the phone line. I'll hand it back to the management to continue.
Amandae Baey: It seems, we have a question on the line. Can you share more details on the new vehicle platform and E/E architecture? What changes are being made to the key modules?
Thuy Thu Le: So our next generation vehicle platform is a significant step forward in terms of cost efficiency, commonality, modularity and vertical integration, This is something that we've been planning for the last few years. The new platform will integrate various inhouse development through the [indiscernible]improving energy efficiency [indiscernible] Secondly, electric drive unit or EDU, we are deploying a powerful internal design [indiscernible] providing improved performance while optimizing scalability across all the product lines. And finally, very important is the new E/E architecture. Our zonal Electrical and Electronic architecture is designed internally, reducing wiring complexity and it has our software product capability, which support long-term cost reductions and future profitability as well as sales. In addition to the new platform, we also improved the architecture. The [ top head ] architecture. The [ top head ] have been redesigned from the ground up that lies within the platform [indiscernible] critical opportunity to [indiscernible] Standardized interface and improve manufacturing efficiency without compromising the brand or design flexibility.
Amandae Baey: Thank you, Madam Thuy. The next question on the line, as we look ahead to expected improvement in profitability, how do you assess the relative contribution of volume growth versus cost optimization?
Thuy Thu Le: ThThank you for your question. We expect meaningful contributions from both vertical integration and supplier optimization, but the greater impact will likely come from the BOM optimization and given that our current cost structure, variable cost improvements will have a stronger effect on operating leverage. VinFast is at a unique point where we can pull both levers effectively. Demand and adoption are growing in our core markets, which give us momentum. And also at the same time, our current generation of the vehicles carries a relative high BOM cost. We acknowledge there were only inefficiencies and costly material choices that gives us a significant room for improvement. As volume increase, we also gain more bargaining power with suppliers with clear [ flywheel ], lower costs lead to the better pricing for our customers, which in turn supports further growth in volume.
Amandae Baey: Our next question, can you elaborate on the rationale and timing of closing VinFast D2C showrooms in North America and Europe?
Thuy Thu Le: We are closing the DTC showrooms in North America and Europe [indiscernible] dealership model that we've been pursuing for a while. This will further enhance efficiency and scale of VinFast globally. Our dealers remain strategic partners and continue to play a pivotal role in our growth and market execution. North America and Europe remain our key markets, which we have [indiscernible] longterm. Regarding marketing, VinFast will still engage in direct marketing and branding activities in general and also coordinate with our dealers to execute any sales promotion activities in markets. Regarding aftersales and warranty [indiscernible], VinFast is currently working with[indiscernible] third party service providers [Technical Difficulty]
Amandae Baey: Madam Thuy, there is a followup question on that. How much do you expect Europe and North America to contribute to volume deliveries in 2025 and '26? And do you plan to continue selling in the U.S. after you run out of it?
Thuy Thu Le: We expect Europe and North America [indiscernible] To monitor development [Technical Difficulty] That said, the long-term commitment to this market remains to be seen. Our plan to commence operations in our North [indiscernible].
Amandae Baey: Thank you, Madam Thuy. The next question on the line, what steps are you taking with key suppliers to further reduce BOM costs?
Thuy Thu Le: We've shifted away from turnkey development through a more collaborative engineering model with key suppliers. For example, interior seating, common seat structures are being core developed for reuse across models. Purchases, body and wide and exterior closures. We've simplified design across these models, working with suppliers to lower complexity and cost with sourcing optimized for scale. And with demand that we expect for the economy of scale for the sourcing for this year with the higher volume. Thank you.
Amandae Baey: Next question on the line. Can you remind us of the liquidity status of VinFast?
Thuy Thu Le: As of the 31st of May, Vingroup has disbursed USD 1.2 billion in loans. And our founder disbursed USD 825 million in grants to VinFast. Besides cash and cash equivalents, our liquidity stands approximately USD 2.4 billion, including USD 968 million ELOC facility and the remaining USD 1.4 billion from Vingroup loans and our founder grant. The use of proceeds from the capital injection is for operation and investment activities to support the next growth phase. Our capital development strategy balances near-term growth investments with the long-term sustainability. In 2025, this year, we expect our total cash burn, including OpEx and CapEx to be around USD 2 billion to USD 2.5 billion of which the majority of the OpEx has incurred during the Q1 2025, as we stock up inventories to get ready for sales rampup in the remaining quarter of the year. For the capital expenditure, makes up less than 50% of the total USD 1.6 billion that I mentioned in the early questions that we allocated for the CapEx and R&D combined. The majority of this CapEx is dedicated to develop our CKD activities across the year.
Amandae Baey: There's a follow up question on profitability. It was reported in local media that VinFast sells [indiscernible] [ 200,000 ] EVs in Vietnam to reach breakeven point. Can you elaborate more on this comment?
Anh Thi Nguyen: Back to the guidance that Madam Thuy already shared that we remain committed to our full year target of at least doubling the 97,000 deliveries in 2024, and continue to emphasize execution, particularly in key Asian markets. Maintaining and strengthening our market leadership in Vietnam is our priority. However, consistent with our disclosure practice, we do not provide guidance or financial breakdown by individual markets. When evaluating profitability, if we adjust for items such as [ NRV ] provisions, depreciation and amortization and one-off expenses from our complementary charging program, we see that certain vehicle models, with sufficient scale are already gross profit positive.
Amandae Baey: So now we have the final question from the webcast. [indiscernible] refresh rate is like a fundamentally different product philosophy, go-to market strategy [indiscernible].
Thuy Thu Le: [Technical Difficulty] And once the product line [indiscernible], we increased a little bit. Given our authentic approach in product development combined with our engineering focus on cost efficiency, [indiscernible] consumer preferences and trends. So long story short [indiscernible] shorter than the industry norm.
Amandae Baey: Madam Thuy, it looks like we have another question on the line regarding VinFast's commitment to the current and future North American customers in U.S. and Canada. What's the future of VinFast in the U.S.?
Anh Thi Nguyen: The U.S. remains our -- like one of our key markets, and we are committed to it for the long term. This is reflected in the fact that we have made no changes in our plans to have North Carolina facility by 2028. We thank our dealers for their cooperation and support and continue to have the meaningful dialogue as we work together through macro uncertainties. As we close our D2C showrooms in North America, we are also focused on fostering dealer performance and also expanding our dealer pipeline, both in California and across North America. The current market backdrop has provided us with an appropriate window to adjust our execution focus which is why we are flexing the highest priority in Asia in the near term, given this is a reason of where the trajectory for EV adoption is clearer.
Amandae Baey: Thank you, Ms. Lan Anh, and that concludes today's conference call. Thank you, everyone.
Operator: Ladies and gentlemen, that concludes today's conference call. Thank you for your participation. You may now disconnect your lines.